Operator: We are now ready to begin our conference call. Welcome to the Flexsteel Industries, Inc. First Quarter Fiscal Year 2014 Operating Results Conference Call. At this time, I will turn the call over to Mr. Tim Hall, Flexsteel's Senior Vice President of Finance and Chief Financial Officer.
Timothy E. Hall: Thank you, Ryan. Good morning, and welcome to our conference call. We appreciate your participation. Joining me this morning is Ms. Karel Czanderna, our President and Chief Executive Officer. We may make forward-looking statements during this call. While these statements reflect our best judgment at the present time, they are subject to risk and uncertainties, as described in our SEC filings. Accordingly our actual results may differ materially from our current expectations. We undertake no obligation to update any forward-looking statements made during this call. I will now review some of the items from our fiscal year 2014 first quarter operating results. For the fiscal quarter ended September 30, 2013, our net sales increased 14% to $104.3 million. This is the highest net sales reported for a first fiscal quarter. A significant portion of the increase in net sales was achieved by investing in additional inventory. During fiscal year 2013 and in our first quarter 2014, we increased our sales to existing customers and added customers. We also expanded our product portfolio. Inventory increased in areas that are delivering growth, primarily ready-to-assemble and upholstered products. The reported gross margin as a percentage of net sales for the quarter was 22.7%, down from 23.1% in the first quarter of 2013. The decrease of 0.4% is primarily due to changes in product mix and price discounting on certain traditional case goods to improve operational efficiencies. The discounting may continue for the remainder of fiscal year as we are realigning inventories to focus on growth opportunities. Our first quarter 2014 selling, general and administrative expenses as a percentage of net sales were 17.5%, improved from 18.3% in the prior fiscal year first quarter. The prior year quarter included $500,000 for executive transition costs, while the current year quarter includes increased legal fees of approximately $400,000 related to the Indiana civil lawsuit. Thus the 0.8% improvement in SG&A comes primarily from improved fixed cost leverage on the higher sales volume. The first quarter of 2014 net increase -- net income increased by $900,000 to $3.8 million, the highest net income ever reported for our company for the first fiscal quarter. Diluted earnings per share were $0.51 versus $0.40 for the prior -- previous fiscal year quarter. First quarter capital expenditures totaled $700,000. Estimated capital expenditures will be approximately $3.5 million for the remainder of fiscal year 2014. The expenditures will be primarily for delivery and manufacturing equipment and for IT infrastructure enhancement. Depreciation expense was $1 million for the first quarter and will be approximately $4.5 million for all of fiscal 2014. Our balance sheet remains strong. Working capital increased to $117 million, and we have no bank borrowings. Cash decreased $300,000 during the fiscal quarter. We believe our cash balance of approximately $11 million is adequate to support our operations and that our borrowings -- and that borrowings will not be necessary. I will now turn the call over to Karel for her comments and business review. Karel?
Karel K. Czanderna: Good morning, and thank you for joining our conference call. This is our fifth consecutive first quarter of earnings growth, driven by ongoing double-digit revenue growth in upholstered seatings sold by retailers and ready-to-assemble products sold online that are targeting the residential market. We do think that retail and the economy in general have improved incrementally, albeit sporadically, in the last 6 to 12 months, and we are benefiting from that improvement. The fall High Point, North Carolina, furniture market starts this week, and we anticipate solid retailer attendance in our home furnishing showrooms. We are experiencing balanced growth with both smaller and major retailers and adding new customers while growing with existing customers. We are confident our sweeping, new upholstery introductions will add interest and innovation in fabric and leather to both the stationary and motion categories and will build on the strengths of the broad and deep portfolio fueling our sales and earnings growth. The amount of square footage dedicated to the presentation of our line by over 700 retailers across the country is at the highest level in our history. As in past quarters, upholstered products continue to outperform traditional case goods. Our product portfolio and service platforms are evolving to meet the changing needs of the many commercial markets we serve and our customers. For example, according to the Recreational Vehicle Industry Association, while unit sales of RV Class A motor homes are up 33%, with smaller Class C motor homes up 42% calendar year-to-date, the trend is to smaller, less-expensive motor homes and, therefore, fewer, more-multiuse furniture pieces. There is a small uptick in hospitality remodeling to refresh colors and styles and for commercial office purchases from larger systems providers. Retirement and assisted care facilities, with their more-homelike settings, are growing about 4% per year, while traditional nursing home occupancy declines. We have served these markets for many years and are continuing our track record of developing innovative products and service solutions to meet the changing customer needs while meeting appropriate safety requirements. Looking forward, less economic uncertainty will enhance business owner and consumer confidence and further enable growth in the furniture industry. The corporate order backlog remains strong at $46.8 million on September 30 and is continuing into the second fiscal quarter. The company is in a good position to produce quality products to meet all of our customers' growing demand. Our team remains focused on providing a broad portfolio of quality products with knowledgeable customer service to enable our customers to grow across all the markets we serve. At this time, please open the phone lines, Ryan, for questions, and then I'll wrap up.
Operator: [Operator Instructions] We have a question from the line of Bruce Baughman from Franklin.
Bruce C. Baughman - Franklin Advisory Services, LLC: Tim, in your opening remarks, you said something about the relationship between inventories and sales, and I didn't quite catch it.
Timothy E. Hall: Inventories increased as we expanded our product portfolio and then, with the -- the sales going up, obviously, that we had to increase some inventories as well. So both of those led to increases on our inventory, Bruce.
Operator: [Operator Instructions] We have no further questions on the line.
Karel K. Czanderna: So thank you very much for participating in our conference call today. We're pleased with the growth of our business and the continuing solid operating results during the first quarter of fiscal year 2014. Our team remains focused on creating value for our customers and our shareholders. We look forward to reviewing our second quarter operating results with you in early February 2014. We appreciate your interest in Flexsteel.
Operator: This concludes today's conference call. You may now disconnect.